Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Second Quarter 2012 Conference Call of Deutsche Bank. [Operator Instructions] I would now like to turn the conference over to Joachim Müller, Head of Investor Relations. Please go ahead, sir.
Joachim Müller: Yes, good afternoon, and good morning to all of those calling from the Americas. This is Joachim Müller from Investor Relations. And on behalf of Deutsche Bank, welcome to our second quarter conference call. Let me start by saying that our Co-CEOs, Jürgen Fitschen and Anshu Jain, have decided to join this call to give you a first-hand update on our ongoing 100-day strategic review and discuss some of the key things emerging from that process. To be clear, this is still work in progress. We will give you more detail of the results in September. Anshu and Jürgen will then hand over to our CFO, Stefan Krause, who will lead you through the Q2 results and take questions relating to those results, as usual. Please understand that if you have questions on the longer-term strategy, there will be an opportunity to put all of these in September, so we suggest focusing your questions today on the second quarter results. Please note the cautionary statements with regard to forward-looking statements at the end of the presentation. With that, let me hand over to our co-CEO, Jürgen Fitschen.
Jürgen Fitschen: Second quarter results call. Anshu and I took charge 60 days ago. We are just over halfway through the 100-day strategy review, which we launched on June 1. The process is going extremely well. It has included broad involvement of employees and other stakeholders. At the 100-day mark, on schedule, we'll have significant progress to report to you on many fronts. So today, we are pleased to announce an investor day on the 11th of September in Frankfurt, to which you are cordially invited. As you also know, Anshu and I have a division of labor of the CEO task between us. It is agreed that the CEO dialogue for the analyst and investor community will be led by Anshu. Accordingly, I suggested that Anshu gives you an interim progress report on our strategy review. Let me now hand over to him. Anshu?
Anshuman Jain: Thank you, Jürgen. Ladies and gentlemen, this is our first communication with you since we took charge in June. This is obviously a critical relationship for us, and we take our responsibility towards you extremely seriously. For me, personally, today marks the first step of a long-term partnership and dialogue with you. Jürgen talked about our 100-day strategy process, which is now just beyond the halfway stage. To be clear, our review is focused both on the need for a clear strategic direction and on immediate actions. We've made a lot of progress. Today, out of the many themes you expect us to grapple with, we want to update you on 3 themes, which are foremost in our minds, and I daresay in yours as well. And those are: culture, operational efficiency and capital. So let me start with the all-important theme of culture. We are aware of the need for a change of culture in the banking industry, especially in investment banking. That, to date, is intense and entirely justified. Let me be explicit. We have recognized that change is imperative. The time for vague promises of cultural change in our industry is long gone. We understand that not only you and our investors, but also our clients, regulators, governments and the public want to see change. We don't underestimate the complexity of the task nor the time it'll take. But Jürgen and I are totally determined to act quickly and decisively. In our strategy review so far, we are focused on 2 key levers: the first is compensation. The need for cultural change has many dimensions. The need to change the compensation model is the most important of all. We've already reduced compensation significantly over the past few years. Now we need to further address both the absolute level of compensation and the relative balance between rewards for shareholders and thus, for employees. Our compensation processes need to become less complex and more transparent, and compensation must be clearly and visibly aligned to sustainable performance. We are confident that our strategy review and our drive for higher operating efficiency will decisively address all of these issues. Let me be clear, we will stay committed to attracting and retaining the best talent. Our clients expect that and so do you. But we firmly believe that the industry as a whole will have to change its compensation model, and we are absolutely committed to being at the forefront of that change. Secondly, we will continue to emphasize that our practices and our codes of personal conduct must be in line with this bank's long tradition of doing business to the highest standards. Those practices must also be oriented towards sustainable, long-term partnerships with our clients, other stakeholders and society at large. Standards are changing, and where we need to make adjustments we won't shy away from doing so. In an organization of over 100,000 people, can we guarantee that there will not be slippages? Of course not. But we can, and we will ensure that the tone at the top is crystal clear: maintain first-class compliance and risk management systems and do our best to root out bad behavior. So then let me turn to the issue of cost and operational efficiency. In our strategic review, we've been relentlessly focusing on the cost issue. Put simply, our cost base is too high. And at this interim stage, we have clear visibility of approximately EUR 3 billion of cost savings versus our run rate for the first half of 2012. That is net of investments we will make to support business growth. While we go through our strategy review and focus on longer-term initiatives, we have also identified immediate measures we need to take. Our EUR 3 billion target includes contributions from both. Of course, challenges exist. Regulation and legal issues put upward pressure on our cost base. It will also be a substantial cost to achieve these savings. However, we are determined and confident that we can achieve this target. We'll make these savings in 4 ways: first, by making changes to our business and revenue model; second, by scaling back some of our business ambitions in certain regions and countries; third, by implementing a reengineering program aimed at achieving world-class operating performance with flexibility, quality and robust controls; and fourth, by completing the measures in Postbank we've already announced and which will contribute EUR 500 million of savings to the EUR 3 billion total. In the past, some of you have expressed skepticism about our delivery of cost reduction, but we are confident we can deliver. In all our most recent major programs, total integration across the Investment Bank, Postbank integration and our complexity reduction program, we are delivering on or ahead of target. Furthermore, I would also like to announce today some immediate actions which have been in progress for some weeks now. We are proud of our world-leading investment banking platform, but we are continually calibrating the size of our platform to the market environment. Consequently, we are reducing headcount by approximately 1,900 people. Of that, 1,500 will come across the investment banking complex and related infrastructure and 400 in other areas. All these reductions are predominantly outside Germany. These measures will contribute savings of approximately EUR 350 million of the overall EUR 3 billion target on a run-rate basis. We're committed to transparency with regards to our cost base, and we'll come back to you with more concrete details in September. And finally then, let me go to capital. We recognize that you are very focused on the capital issue for the industry and for Deutsche Bank. Let me start with 2 statements. First, we have always managed our capital to be comfortably above all regulatory thresholds even in stress scenarios. Our current capital ratios are well above all regulatory thresholds, and our capital plans will continue to deliver a substantial cushion. Second, it is important to look at other measures of stability. Some of you have rightly focused on risk-bearing capacity, that is, our capacity to absorb severe stress loss across our portfolio. Here, we're in line with the best in the industry. Stefan will discuss this measure in more detail. Furthermore, just as important to Deutsche Bank's strength and security is the stability and reliability of our liquidity and funding positions, both of which remain top class. Nevertheless, we recognize that strengthening Core Tier 1 capital is a priority. So let me now share with you the immediate steps we're already taking to address this critical issue. First, we remain confident that we can meet our published simulated guidance of Basel III Core Tier 1 ratios, even in the event that net income projections need to be further adjusted downward due to continued market turbulence. In response to lower second quarter performance, we have identified EUR 29 billion of additional risk-weighted asset reductions and capital build measures beyond those we've already committed to and communicated. We've already delivered on some of these, including the exit of certain legacy positions which are capital-intensive under Basel III. Therefore, we continue to expect that at the beginning of 2013, our Core Tier 1 ratio, including phase-in, will be approximately 9%. That is equivalent to 7.2% on a fully loaded basis. Stefan will talk in more detail about this. Second, we are working on a complete range of initiatives that will be realized very rapidly over the next year or so. These will enable us to reduce risk and build capital organically. They include managing down legacy positions in both the Investment Bank and Postbank and taking decisive action on specific sub-performing assets. We're also continuing to roll out advanced rating models across the bank, particularly in PBC. Within our capital toolbox, which Stefan will talk about in more detail, we have additional measures, all of which we are looking at very carefully. Crucially, we will implement these initiatives while simultaneously supporting growth in the real economy. Taking all these factors into account and even given the possibility of lower performance, we have an ambition of a Basel III Core Tier 1 ratio of approximately 10% on a phase-in basis, equivalent to at least 8% on a fully loaded basis by the end of the first quarter 2013. We aim to continue to grow this ratio throughout the rest of 2013 and beyond, while investing the necessary costs to achieve our cost reduction program. Finally, let me remind you, unlike other banks, we're making these statements when rules are still being finalized by legislators and regulatory guidance and implementation is incomplete in many ways. Nevertheless, this is our current reading of what is expected to come and a clear commitment to meaningful further improvements in our capital ratios. At our investor day in September, we will provide you with details on our capital roadmap. But today, I would only like to emphasize that there's been no change in our approach. We aim to apply all the capital levers at our disposal, therefore coming to investors to raise equity. So now let me conclude. Difficult economic conditions in financial markets, increased regulatory oversight and litigation are well-known headwinds for us and the industry. These headwinds don't excuse us from growth; they necessitate a more efficient operating model. Growth is an imperative. We must grow without losing our competitive edge. We must maintain our ability to deliver seamless service to our clients. But we also must grow in a manner that's sustainable and responsible. We aim to strike the right balance to serve all our stakeholders, our shareholders, our employees, our clients, as well as society. We reaffirm our commitment to a universal banking model. We are convinced that this model is best for our clients as we seek to help them grow, manage risks and operate wherever they need to across the globe and to deliver that integrated service cost-efficiently. As we take stock, Jürgen and I recognize what a remarkable platform Deutsche Bank has built over the past 2 decades. We have a unique global network, a very strong brand, leadership positions in most core businesses and deep relationships with clients. We are firmly anchored in the home market, which is Europe's largest and most successful economy. Very few competitors can claim all of that. More importantly, I very much doubt that any new entrant can come close to it in the foreseeable future. That represents an enviable competitive advantage. Our mandate is to steward this unique institution through what will undoubtedly be a difficult time for the industry. We have no illusions; it won't be easy. But we're totally committed to the challenge. So now let me hand it over to Stefan Krause, who will walk you through our second quarter figures and take questions on those results. I look forward to seeing as many of you as possible, in person hopefully, at our investor day in Frankfurt. Thank you very much.
Stefan Krause: Yes, thank you, Anshu. And also, good afternoon, or good morning from my side. I'll obviously have the task now to walk you through the second quarter results as usual, and I would like to begin on the third slide. It should come as no surprise to you that it was a difficult revenue environment in the second quarter. Whereas, as you'll remember, the first quarter benefited substantially from an improvement in confidence as a result of the LTRO, the European sovereign debt crisis again intensified in the second quarter. I guess this is no news to you. Given our strong franchise in Europe, we continue to be negatively impacted. Clients' risk aversion due to ongoing uncertainty led to lower client activity across most of our major businesses. Our corporate and institutional clients are delaying strategic actions, as well as essential hedging and market issuance. Our retail bank is generally facing lower interest income and lower brokerage-related revenues as clients move towards cash and capital protection-type products. In contrast, the persistently low rate -- interest rate environment is a headwind in our transaction bank as well, whilst, in addition to suppressed asset flows, margins in Asset Management are pressured by the ongoing mix shift towards cash programs. For the group, revenues declined just 6% from the second quarter 2011 despite a meaningful deterioration in client activity levels and investor confidence over the course of the year. The current environment continues to reside in significantly lower levels of client activity, both on investment banking, as well as certain parts of our retail business, and we expect this to continue into the second half of the year. We intend to continue to run low levels of risk in light of this environment and maintain tight reins on expenses, while remaining focused on servicing our clients in the best possible way, as Anshu alluded. Turning now to Slide 4. The Core Tier 1 ratio continues to increase quarter after quarter despite the market difficulties. At 10.2%, we were well above the EBA required minimum mandated for second quarter end. The tick-up in leverage ratio is primarily attributable to rounding. It was virtually unchanged. Also, we continue to run with very high levels of liquidity reserves, more than EUR 200 billion at quarter end. We feel it's prudent to carry such high reserves given the market volatility. Let me now come to Page 5. CB&S IBIT decline is attributable to the lower revenues, and CB&S revenues are obviously more correlated with the health and growth prospects of the global economy. So while revenues are down 11% year-over-year, when we take into consideration our reduced risk profile, muted client activity and the overall macroeconomic difficulties, the revenue resize is in line with the opportunities presented by the market. Our Asset and Wealth Management business was impacted by the sale process and the ongoing industry headwinds. This quarter, there's approximately EUR 90 million of non-operational costs booked in Asset and Wealth Management. Beyond this quarter's result, you should know we are committed to asset wealth management, and we'll manage Asset Management and Wealth Management in a more integrated fashion in the future. PBC is forging ahead in its integration. The synergies we identified in the Postbank, Deutsche Bank integration are beginning to materialize, especially as it relates to our new state-of-the-art banking platform. The change in profitability is primarily attributable to higher cost to achieve related to the integration. GTB continues to demonstrate revenue growth across all products and regions. In the second half of 2012, we will enter the final stages of integrating our Commercial Banking business in the Netherlands. We expect to begin to realize the cost synergies from this integration beginning next year. As I mentioned, total net revenue decreased by 6% year-over-year and 13% quarter-over-quarter. Our brokerage-related revenues are the most elastic to the deterioration in investor confidence. As you can see on our net revenue page, on Page 6, further, the low interest rate environment has been a persistent headwind for many of our revenue sources. Effects from currency translation impacted revenues favorable and partly offset the aforementioned revenue reduction. Let me now turn to Slide 7. Our risk provision profile continues to be favorable. In CIB, we saw EUR 159 million of provision, largely driven by commercial real estate financing, belonging to our portfolio of IAS 39 reclassified assets. Compared to the same quarter last year, this means an increase of EUR 32 million, which is in line with our expectations and does not indicate a weakening of our corporate portfolio. The increase in CIB in comparison to the same quarter last year was more than offset by lower charges recorded in PCAM, where provisions reduced by EUR 76 million. Postbank contributed a reduction of EUR 75 million compared to the provisioning level in the second quarter last year. However, this is largely attributable to how releases of allowances for acquisitions are recorded. And in PCAM, excluding Postbank, provisions were on the same level as in the second quarter of 2011. Similar to 2011, we may experience a moderate uptick in provisions as we progress into the year. I will also detail our asset quality with respect to our PBC loan book later in the presentation. Noninterest expenses, as you can see on Page 8, are up 5% year-over-year. Compensation-related costs were almost unchanged versus the prior year's quarter. Lower performance-related compensation was offset by increased deferred compensation from prior year's higher severance payments and salaries. Non-compensation expenses increased by approximately EUR 400 million, primarily due to the increased litigation-related expenses and higher operational losses, increased IT costs, as well as adverse FX rate movement. If you move to Slide 9, you see that net income for the second quarter 2012 was EUR 661 million compared to EUR 1.2 billion in the second quarter of 2011. The effective tax rate in the current and prior year's quarter was 31%. On Slide 10, we show our usual capital ratios and risk-weighted assets charts, and you can see that we finished the quarter with a Core Tier 1 ratio of 10.2% and a Tier 1 ratio of 13.6%. As projected already last year, Deutsche Bank well exceeds the 9% threshold set by the EBA for June of 2012. Let's review the capital and risk-weighted asset development this quarter in more detail. Let's turn to Slide 11, where we show both. The Core Tier 1 capital increased by EUR 0.8 billion from EUR 37.0 billion to EUR 37.8 billion. For the quarter, we saw about EUR 600 million capital formation through net income, as I explained, along with offsetting effects of dividend accruals, lower capital deduction items, FX movement and a onetime Postbank effect as a result of the approval of the domination agreement that we are seeking via their shareholders. On the risk-weighted assets side, the net increase of EUR 4.2 billion was largely due to FX effects, partially mitigated by a reduction in credit risk. Let me move now to the usual discussion on our business divisions' results, and let's go to Page 13. Here you see the overview of our businesses and their performance, and I would suggest that we move -- go through this segment by segment, and I start with CB&S on Page 14. Again, a challenging background -- backdrop, as Anshu already alluded in his speech. CB&S delivered a solid revenue performance and upheld by the strengths of our flow businesses and the ongoing demand for client solutions. The second quarter saw a continued uncertain macroeconomic environment, leading to reduced client activity in many areas. We continue to manage towards a low-risk, client-focused business model. In fact, in the first half of the year, we have experienced only 1 negative trading day and VaR is down 25% year-over-year versus the sales and trading revenue decline of only 7%, resulting in a significant uptick in return on VaR, which, in my opinion, shows you that we are maintaining a very impressive return on VaR. As I said earlier, our expenses continue to be pressured by increased legal and regulatory costs. And in the second quarter of 2012, we saw significant headwinds from FX movements versus the prior year quarter. CB&S compensation costs were down year-over-year due to the lower headcount and lower compensation per head. On Page 15, we show the Sales & Trading debt and other products. Our Sales & Trading debt revenues were resilient, down only 7% year-over-year despite a much lower risk profile. In FX, we continued to be the market leader. For the second quarter in a row, DB had record client volumes, although competitive pressure on margins reflected in slightly lower year-over-year revenues. We have now had record FX volumes for 3 out of the last 4 quarters. Rates revenues were higher year-over-year due to solid client activity, while money markets performance was in line with the prior year quarter. We are deliberately, as you know, deliberately running with lower inventory levels and flow credit due to the current market environment, while demand for client solutions has held up relatively well. Let me now turn to Page 16, where we show our Sales & Trading equity. Those revenues were virtually flat year-over-year. As you can see, a very good achievement. Our market-leading franchise in Europe means that we are more exposed to the European-centric crisis. Cash equity revenues were up significantly year-over-year despite the lower market activity. Year-to-date, we have grown our cash equities market share across all regions. Our Prime Brokerage franchise remained strong, driven by increased client balances and higher year-over-year revenues in Asia and the U.S. Origination & Advisory had a solid quarter in a period marked by slower activity, as you can see on Page 17. We maintained a top 5 global rank, as well as a solid #1 rank in EMEA. On a product basis, we had good relative performance with top 5 ranks in 4 products. Key deals in the quarter included the U.S. Treasury sell-down of its stake in AIG, ABB's EUR 3 billion acquisition of Thomas & Betts and representing Nestle in the EUR 9 billion acquisition of Pfizer's nutrition business. Our pipeline remains reasonably strong. ECM and M&A are both in line with last year as deals continue to get pushed and delayed, while LDCM is much stronger. The quality of the pipeline, I can tell you, continues to also be very good. On Page 18, we turn to our GTB businesses. Business will continue to benefit from the strong business momentum with broad-based strength across all major products. Revenues increased by 10% year-over-year to EUR 970 million. Despite the deteriorating economic outlook, Trade Finance demand remained strong, and we continue to increase customer volumes, especially in Europe and Asia, where we benefit from our brand and quality product offering. Trust & Securities Services also benefited from higher balances and increased fee income, especially in the Corporate Trust and Alternative Funds business in the U.S. and U.K. Cash Management on the corporate, as well as the financial institutions side, is a beneficiary from the flight to quality trend resulting in higher deposit volumes. Provisions for credit losses were up 54% year-over-year to EUR 47 million. These were mainly related to the loan portfolio acquired in the Netherlands. Overall, after an outstanding first quarter, GTB showed another solid performance despite the higher LLPs and costs related to the business activity and integration. On Page 19, you'll see the development of the Asset and Wealth Management business that, obviously, has had a very difficult quarter. The asset gathering industry, as you know, continues to be pressured on several fronts: increased regulation, changing industry dynamics between producers and distributors and general negative investor sentiment. For DB specifically, Asset Management is obviously suffering from the uncertainty caused by the strategic review of the global Asset Management division initiated in November of 2011. Over the last few years, we have developed a very capable M&A team that has closed over 60 transactions in the last 30 months. So we also worked very hard to complete this transaction, but we were unable to agree on acceptable terms for the sale. And it was never our intention to sell the business at any price, only if it realized a true value creation for our shareholders. Turning to the future. We are committed to our Asset and Wealth Management business. The 2 business divisions now have a single management structure, a single executive committee and are working together as a unit. Our franchise is still intact, and we are in the process of developing an integrated business strength for the division that will be part, obviously, of our strategic announcement. Let's turn to Page 20. I'll go now into Asset Management. That was clearly impacted by the sale process. However, the market environment for asset management has also been extremely difficult, and is the primary driver of this quarter's poor performance. The confluence of a pessimistic economic outlook, market volatility and generally downward trending indices has caused investor confidence in both equity and bond capabilities to suffer. The continued mix shift towards passive strategies and increasingly, also cash products is pressing revenue margin. Noninterest expense would've improved year-over-year, if not for charges related to the strategic review. The majority of the EUR 50 million we identified this quarter relates to increased legal and consulting costs. The second half of this year, we expect some additional expenses related to the strategic review. The inability to pitch for new business during the transaction process obviously magnifies the net new asset outflows. This quarter, approximately EUR 3 billion of the EUR 6 billion outflow was from cash flow products. Let's now move on to Private Wealth Management. Actually, Private Wealth Management had quite a mixed performance this quarter. Obviously, we are disappointed with the profitability level, but weaker revenues were primarily attributable to the non-recurrence of positive realignment charges booked in the second quarter of the previous year related to the Sal. Oppenheim. These effects offset the positive business momentum, particularly in APAC and the Americas. Noninterest expenses were negatively impacted by about EUR 40 million of specific items relating to litigation and business taxes. On the positive side, the business attracted over EUR 6 billion of cash inflows this quarter, bringing the first half-year results total to just over EUR 8 billion or a 6% growth rate of the year-end invested asset base. The asset base increased in the first half of the year to EUR 284 billion, with the majority of the increase driven by flows and a positive FX offsetting the negative market effects. Our lending initiative continues to gain traction, increasing 21% year-over-year to EUR 33 billion. The loan book growth should generate good levels of future profitability. Let's now focus on our retail business. Let's start on Page 22. As you know, PBC continues to show a resilient performance despite market headwinds, with lower interest rates and muted client investment activity. The deposit base developed solidly, particularly site deposits, which increased by 13% compared to previous year's quarter. The loan book continues to grow. German mortgages increased by more 5% in the past 12 months, and the second quarter was one of the best quarters in the mortgage production. I guess, we, all Germans, are running into buying homes, for not knowing where to put our money. In Advisory Banking Germany, with an increase of 180% compared to the previous year's quarter, we had a very good result. The reported pretax profit of EUR 398 million is down 13% versus the second quarter of 2011 on a reported basis. The decrease in profitability is primarily attributable to Consumer Banking Germany business unit, where the pretax profits fell from EUR 229 million in the second quarter of 2011 to EUR 165 million in the current quarter. There are 2 effects to take note of here. Firstly, this quarter, we recorded lower results from the sell-down of assets in the non-customer Postbank book, while in earlier quarters, we realized benefits from the accelerated amortization of the PPA. Secondly, the asset sell-down is resulting in excess liquidity, as you can imagine, which is currently invested in low-yielding assets, pressuring interest income. The core business of Consumer Banking Germany is performing very well, by the way. Advisory Banking Germany and Advisory Banking International pretax profits were flat versus the prior year quarter. In Advisory Banking Germany, the balance sheet business, especially mortgages, continues to grow, and LLPs are trending downward, which partially offsets the continued drag from lower brokerage revenues. In Advisory Banking International, we have been successfully repricing the loan book. However, deposit margins continue to be under pressure. Finally, we are pleased to announce, this quarter saw the first rollout of our state-of-the-art retail banking platform. We have migrated the first 5 million saving accounts onto the new system. The new IT platform will drive the delivery of approximately 70% of the synergies we expect from the Postbank integration. So finally, to what you have been waiting all the time, some few key current topics. Let me start on Page 24, that I know is your favorite chart. If you already know from our ad hoc, we continue to see our Basel III simulation at 7.2% for 1st of January '13, fully loaded, unchanged from our simulation communicated last quarter. Let me walk you through this, our newest and latest version. First, we still conservatively include the EUR 12 billion risk-weighted assets growth item introduced in our simulation in the first quarter of 2011, as you may recall. Then, we show EUR 119 billion in relation to Basel III. The increase of EUR 14 billion compared to last quarter's simulation is purely technical, with no net impact on the Basel III Tier 1 ratios. You will note a correspondingly lower risk-weighted asset impact shown under application of 2019 rules, and there are also not so visible further entries on the capital side. All said, we believe this better reflects how the 10% to 15% rule under Basel III will be applied. However, important for you, there is no net impact on the Basel III ratio with phase-in nor the fully loaded ratio. It is a pure presentation matter. If you would have further presentations, we can walk you through or IR can walk you through this after the call. What is new in the inclusion are the set of additional management actions we currently execute to compensate for the lower net income projections for the second half of this year, as well as the second quarter net income, which came in below previous market estimates. As of today, we have already executed about 20% of this additional management actions. Whilst we included some potential costs in our simulation, we did, by the way, to date, not incur any measurable cost for what we did so far. And we are selling these assets at our marks. All said, our simulated performance Core Tier 1 ratio with phase-in is now 8.9% as of January 1, 2013, marginally better than we previously indicated. And on a fully loaded basis, which means under the 2019 rules, we, again, arrived at 7.2%, in line with what I indicated to you in April. Let me remind you that this simulation does not consider all of our management actions nor our full management action potential, but only what we do directly in relation to Basel III or in the context of the initial additional EUR 29 billion of management action we have now triggered given the net income development. We understand that market participants generally look at Basel III Core Tier 1 on this fully loaded basis, and we'll continue to provide updates accordingly despite our misgivings around comparability from bank to bank. Please keep in mind that there is a high degree of interpretation required to calculate the fully loaded view. There remains a lot of uncertainty, as you know, in the final rules that will be written and then applied. However, I want to remind you, from a regulatory view, at no point in time will we ever be anywhere near breaching our required capital minimum even under stress scenarios. We have extensive talks with our regulators and are comfortable with the required thresholds through the transition to Basel III. While managing capital as it refers to risk, we also look at other KPIs and particularly, very important, the risk-bearing capacity. As defined as the amount of Tier 1 Capital available to absorb a severe stress loss across the bank's portfolio, our current mark is just above 200%. It tells you that we have ample room to deal with risk within our capital, and I think this is what we should focus on. In fact, our mark shows that our lower risk-carrying business model and the higher quality of our asset base allows us the comfort to operate at a lower Core Tier 1 ratio than some of our peers. Let me now move to Page 25. And let me begin by saying, we share your frustration that there has not been an absolute reduction in the costs -- in the reported cost base despite several successful cost initiatives. Looking at our second quarter 2012 versus second quarter 2011 cost development, noninterest expenses increased by approximately EUR 350 million in the second quarter of 2012 compared to the same period in 2011. On a net basis, the increase mainly reflects the impact of the weakening euro on currency translation. Expenses for litigation and regulatory requirements, including related IT spend, increased by approximately EUR 200 million. This was almost completely offset by lower performance-related compensation and net savings from cost containment measures. Turning to the half-year comparison, the headwinds are more stark. Performance-related compensation decreased by approximately EUR 900 million. Our savings from prior cost-containment measures, such as complexity reduction, had been reinvested into our ongoing PBC integration projects. The only increases in our first half 2012 cost base reside, therefore, for nearly EUR 430 million of additional litigation, regulatory and regulatory-related IT spend and approximately EUR 600 million of FX translation headwinds. In fact, on an FX adjusted basis, our cost base has decreased by EUR 300 million versus the first half of 2011. The next slide provides some more detail on our performance-related compensation expenses, so turn to Page 26. And as you already know, our shift towards higher deferred compensation complies with regulatory requirements and better aligns shareholder and employee interest. That's the intention. The unintended intention is shown here on this chart. The portion of the compensation accrual that we control in the current period is down 27% year-over-year. But while our overall compensation expenses are flat year-over-year, the negative impact from this amortization of prior year deferrals masks our efforts to reduce costs in the current period. As this image demonstrates, our quarter-on-quarter cost flexibility has therefore, just implicitly, significantly decreased, especially in CB&S. And Anshu explained, management has taken decisive action and short-term cost reduction measures that have been introduced. In addition, we would carry out an immediate restructuring program in the third quarter to reduce our CB&S and related workforce by approximately 1,900 people. This will begin to bring the cost base more in line with our near-term revenue opportunity. Let me turn now to the summary. As you can see, the results in the second quarter reflect a challenging market environment. Client activity levels in Europe remain very low. We are confident there exists the political resolve to solve euro structural issues. However, in the near term, we expect activity levels to remain low and the interest income headwinds will persist. As Anshu previewed some of our strategic thinking, you can trust that the bank is certainly not standing still. We're in the final steps of formulating the strategic agenda that will set our path for the next few years. Before I conclude, I would like to make a special statement here as well. As you know, from our financial disclosures, Deutsche Bank is one of a number of banks and financial institutions that are subject of various industry-wide investigations relating to the interbank offered rates. The bank has received subpoenas and requests for information from certain regulators and governmental entities in connection with setting interbank offered rate for various currencies. Deutsche Bank continues to cooperate fully with regulators in investigating interbank offered rates matters. The review by the bank is a comprehensive and is being overseen by the management board and the supervisory board. The bank can confirm to date, it has found that potential wrongdoing was limited to the actions of a small number of individuals acting on their own initiative who have since been sanctioned. Please understand that due to the ongoing investigation, we will not say anything further to the LIBOR matters. With that, I conclude my remarks. And I certainly welcome all your questions now.
Operator: [Operator Instructions] And the first question is from Derek De Vries of Bank of America.
Derek De Vries - BofA Merrill Lynch, Research Division: I actually have a few questions, but I'll start with some simple ones. The EUR 3 billion cost target that takes us to a cost base of EUR 24.3 billion, when do we get there? You didn't quantify a time for that, so that's a pretty straightforward one. Also, the big risk-weighted asset runoff that takes place in Q1 2013, can you give us a little bit more detail on that? And then finally, on compensation, I think you're the only European investment bank that doesn't give us the awarded not yet expensed variable comp at the end of each year. But if you make some estimates based on what you do give us, I actually thought the awarded not yet expensed variable comp was down 2011 year-end on 2010. And I realize it's not straight-line accrued. But I'm wondering if you could just maybe give me how much has been awarded not expensed as of the second quarter 2012 versus second quarter 2011. Because I have to admit, I was caught out by the 12% increase in amortization of deferrals. I would have thought that number would've been broadly flat. So a few questions there for you.
Stefan Krause: So thank you for your, obviously, good and pressing questions. But on the first 2, I'm going to ask you to have a little patience with us for the next couple of weeks, 6 weeks. We're going to be out to detail more about the strategy, as Anshu said. We've made a decision not to provide more disclosure or details around what you heard on the call because that's going to be the context and the content of the announced investor day. So sorry, but I have to ask you to bear with us for a while. On the compensation issue, the awarded not yet expensed comp had been expensed in the second quarter 2012 versus the second quarter '11, where you would've thought that it would have been flat instead of an increased 12%. I'm going to defer that. Honestly, the view we take on accruals is that, obviously, they have significantly increased over the last couple of years. And the deferred portion, as you know, we were quite aggressive on deferral versus the industry, in our view, has increased. So I will have to do the math to compare to your numbers to see how you came up with it. But generally, as we had reported previously, obviously, the amount of deferred compensation has increased, and it's quite high for Deutsche Bank.
Derek De Vries - BofA Merrill Lynch, Research Division: So what you're saying is the absolute off balance sheet liability, if you will, so the absolute level of awarded not yet expensed compensation today is higher than it was 12 months ago?
Stefan Krause: Yes, it has come up, yes. And I need to see your numbers and compare. I didn't do the math. But the difference, clearly, has gone up because when I look at the deferral ratios that we have applied to the different compensation levels, they were quite significantly higher in 2011.
Derek De Vries - BofA Merrill Lynch, Research Division: But it's not a dwindling bonus, too, unfortunately, at least for the rest of us?
Stefan Krause: Yes. That's true, too. But let us do this...
Derek De Vries - BofA Merrill Lynch, Research Division: Okay. We'll do it offline. Appreciate it.
Stefan Krause: We'll give you a call after this call to kind of try to reconcile numbers. Okay?
Operator: And the next question is from Jeremy Sigee of Barclays.
Jeremy Sigee - Barclays Capital, Research Division: Well, actually, firstly a follow-on just on what you were just discussing. The percentage deferred or the bonus pool went up from 49% to 61%, I think, in 2011. Do we assume or do you assume a constant 61% deferral proportion in 2012? Is that how you're accruing? That's my first question. Secondly, obvious question, could you comment on the cost to achieve -- you're flagging a sizeable restructuring charge presumably in the second half. Could you comment on that? And thirdly, I understand you don't want to talk about your future actions, but could you talk about the EUR 29 billion additional management action that you've told us is now well underway? What sort of assets are you getting rid of as part of that?
Stefan Krause: Yes, Jeremy, thanks for the questions. First of all, it is – it was our market view, we took a big dip of deferral last year. I would not see this number to certainly increase our deferral, and I would rather see that we might be a little bit more conservative because our competitive information indicated that we were certainly the bank that was quite aggressive in terms of our deferral ratios, yes. So I think, we think that we'll be slightly down, that's what we're currently accruing to. And then we'll see how -- we usually make this decision based on competitive information that we get. And as you know, we do these decisions then towards year-end or at the turn of the year, at the beginning of the year. But currently, the trend would -- certainly, we were maybe a little bit aggressive on that last year. So on the kinds of assets, I'm going to -- sorry that I'm also going to defer to the strategic review in September. It's part of the package and detailed explanation we'll provide you on our path to get to the numbers that Anshu announced. Obviously, we're aware that you're going to -- that we are going to generate a lot of questions for all of you with our announcements. And therefore, I know that I have to ask you for some patience on that. But we would prefer to give you all the details in September, so you can have a comprehensive view. Because I'm sure your next question after where the EUR 29 billion comes from is going to be how we further move down the path, so please have some understanding. By the way, I got from the team, our planned deferral rates were around the 50% mark, so to give you a view that we currently are trending down. But I'll caveat this by saying this will obviously be year-end decisions based on competitive information we get.
Jeremy Sigee - Barclays Capital, Research Division: And the restructuring charge, is that also part of the wait-and-see things?
Stefan Krause: Yes, this is part of the wait and see. But I think on the headcount reductions that, again, I'd like to clarify. As we had said, it's 1,500 in the Investment Bank and 400 in other areas of the bank. And I'm giving you that disclosure so you can kind of apply what your -- get the current ratios are going to be. We're going to give you more detail on the numbers in specifics in September.
Operator: The next question is from Jon Peace of Nomura.
Jon Peace - Nomura Securities Co. Ltd., Research Division: Two quick questions, please. Firstly, just to clarify on the restructuring of the Asset Management business. So I understand now that the potential sale is completely off the table, so that business has been retained. And would you be able to size potentially any hangover from revenue or cost impacts in the second half of the year? And then, the second question is just on capital adequacy. And I take your point completely that you've always been in excess of minimum capital standards. But we've seen in Switzerland, for example, recently that as the Eurozone environment has deteriorated, the regulators have put pressure on the local banks to improve their loss absorbing capital. I just wondered what you thought -- whether you thought the German regulator might take a similar stance.
Stefan Krause: Yes. Okay, let me start with the Asset Management sale. We had started one process, which was the strategic review of the Asset Management business that we have concluded, yes. We have said that, obviously, as you know, we were not able to agree on acceptable terms for our shareholders with a potential buyer. And obviously, we then had also the reorganization of our Asset Management and Wealth Management business, and therefore, we stopped that process. Now obviously, all our Asset Management businesses become part of the strategic review, that – the review of the entire bank, and will be treated equally to any other either opportunity or challenge that we have to address within the context of the next couple of years' strategy. And then you will get an update on what is going to be the future of the Asset Management business in September as well. But I confirm that the attempt to sell the -- our mainly North American Asset Management businesses that, that project is concluded and closed. And we are kind of finalizing, that's why I alluded to the cost that the division had to carry around it. And obviously, we have concluded that process, yes. But I have to abstain to make comments about the future because, again, that we will answer then within September. So let's talk about the capital adequacy. Today, honestly, I'm feeling more comfortable in making some of the statements because we got some more clarification as we move along in terms of what expectations are and will be. And I can only reiterate that we feel very comfortable that with the phase in of Basel III, assuming the numbers that we've provided to you and assuming what we know requirements will be, we will be, at all times, comfortably above regulatory minimum. So if we are reacting to more capital needs, clearly, it's not driven by our view that we need it from a regulatory point of view, but it's needed just from a market viewpoint and from an explanation on how the phase-in targets will be achieved. Now obviously, in Switzerland, the story is quite different. The increased pressure on capital in Switzerland has something to do with the big impact of these banks on their economy and therefore the reaction, obviously, of the Swiss to protect their economy, to protect their taxpayer and to protect, obviously, also the Swiss wealth management business that is so core to these banks. And Wealth Management normally doesn't carry that high of capital charges, and it's logical that there was a strategic adjustment based on these thing. These 2 things do not apply to Germany or to a bank operating in Germany. So our answer to you is it's an apple-to-oranges comparison. It doesn't apply. I hope that answers your question. And for further capital ratio increases Anshu laid out in his speech, I, again, ask you to bear with us until September.
Operator: And the next question is from Christopher Wheeler of Mediobanca.
Christopher Wheeler - Mediobanca Securities, Research Division: Right. So Slide 24, just a question on the EUR 119 billion of the net RWA additions. If I go back to October 2010 and I think last June when Anshu gave his presentations on the Investment Bank, you were talking about EUR 90 billion of mitigation. Within that EUR 119 billion, what have we got now for mitigation? In other words, can you give us a clue as to what the gross number is and then perhaps within the EUR 119 billion, how much of that gross mitigation you hope to have achieved by the end of this year?
Stefan Krause: I think it's a good question you ask. We started with EUR 90 billion, and I -- honestly, we have to get this question because we've seen this number increase. And that's -- if you remember, in my text, I alluded quite in detail to this change. We actually had a step in between, which was our EUR 105 billion number. I do remember asking if you were asking the step between the EUR 90 billion and the EUR 105 billion. But at the end, it is no – we have had no real material change in our total Basel III. As regulations clarify, we -- it's a timing difference. We were able to move some of the effects into this bucket while we reduced, obviously, the additional effect. So it's just technically moving components. The EUR 90 billion, those days, by the way,...
Christopher Wheeler - Mediobanca Securities, Research Division: It was Basel 2.5, actually, yes.
Stefan Krause: Yes. And that included the Basel 2.5, which we've had, so the EUR 105 billion was the number after the Basel 2.5 update that we put in it. And obviously, the reduction amount depends on the ultimate rules. And obviously, the same action may give us a bigger or smaller benefit. What really matters to us is that we're very comfortable in hitting the net number we have to achieve, our ratio as shown here, and that's the way with it. There is significant management actions still coming. But you see us being still very comfortable with because we agreed additional EUR 29 billion of management actions that we are very confident to be able to deliver in the near future.
Christopher Wheeler - Mediobanca Securities, Research Division: Okay, that's really helpful. And just a second very quick question. The job losses, I'm assuming this will happen fairly speedily. Therefore, we can be convinced that, that will have been done by the time we get fully to the end of the third quarter. Would that be fair?
Stefan Krause: Yes, end of third quarter. I would say it will really happen speedily. But sometimes, just the technical process will take some time. So I will not commit to the end of Q3, but it's certainly our intention to be done by year-end.
Operator: Next question is from Kian Abouhossein from JPMorgan.
Kian Abouhossein - JP Morgan Chase & Co, Research Division: Thanks for some of the restructuring details. I have 2 questions. The first one relates to old slides, to put in context what you're announcing now. At the CIB Workshop, Anshu indicated a pretax RoE of 20% to 25%. Clearly, there's an indication that the world has changed probably more than, at that time expected, which was in 2010. And I'm trying to get an understanding of how -- what does it mean in terms of a pretax RoE for CB&S going forward? Is something like a 20%, 25% still achievable in a new world, obviously, measures that you're taking? The second question is related to your legacy risk-weighted asset that Bill Brooksmith [ph] outlined, EUR 70 billion-plus is at Postbank. On top, I think you have another EUR 15 billion left, plus C&I. So again, roughly EUR 90 billion of risk-weighted assets that are to roll over, over time. And if I look at one of the slides, you outlined EUR 15 billion to EUR 20 billion rollover in 2013. Is that included in your 8% Basel III fully loaded Tier 1 number? And also, how much of the EUR 29 billion is related to those legacy risk-weighted assets?
Stefan Krause: Okay. So I'm going to make Anshu work here for the first one because he made the statement. And then, I'm going to take your risk-weighted asset question.
Anshuman Jain: Sure. Kian, thanks for your question. And again, we will be giving you some fairly detailed guidance on how we expect the RoE to develop across the group overall and across each of the divisions in September. But I think it's fair to say that our prospects and our future view on profitability is different today than it was in 2010. There's no doubt that the European crisis has developed closer towards our more grim scenario than a better-case scenario over the course of the past 2 years. And that's the point I made about making the decision to recalibrate our headcount. So yes, we will guide you lower. Precise details to come in September.
Stefan Krause: Okay. And then to your second question, we -- honestly, we still have significant room to free up risk-weighted assets from legacy positions. And yet, a portion of that is in the second half of 2012 actions, as well as in the Q1 '13 actions, to get it to be that 8%. But it's not just that, and there is obviously more thereafter as we're going to disclose them later in September. But of course, for example, part of this EUR 29 billion package is legacy asset-related. And in terms of roll-off, of course, some of the roll-off assumptions might be changed because we end earlier. But at the end of the day, we also continue to have a significant roll-off as we have described previously at later dates.
Kian Abouhossein - JP Morgan Chase & Co, Research Division: And can you give us a bit of an idea of roll-off versus sale versus kind of mitigations, i.e., model changes or other ways of reducing risk-weighted assets for better netting?
Stefan Krause: No, no. I don't have these numbers here with me, so I couldn't give you a relationship. But let's -- we will be -- we promise to be detailed in September so you understand the relationships between the different measures we are taking, and we finally shed light into our famous toolbox, okay?
Operator: Next question is from Philipp Zieschang from UBS.
Philipp Zieschang - UBS Investment Bank, Research Division: Three questions, if I may. Just coming back to the EUR 3 billion of identified cost savings. You are writing in the release that these include changes to the business and revenue model. Should I assume the EUR 3 billion on net of potential revenue losses? Second question is, again, coming to your capital ratio guidance or simulation time frame from first quarter -- end of first quarter next year towards the end of next year, do you -- because you don't talk about full year 2013, would you expect the capital ratio also to benefit from lower deductions, i.e., the amortization of some of your DTAs? I think Crédit Suisse flagged around a EUR 3 billion reduction in deductions next year, which are obviously helpful to capital ratios. And the third point, coming back to Anshu's opening remarks, also on compensation that is at the heart of the current profitability protection. Should we read into that, that you will accelerate the amortization of deferred comp for a specific period in order to get ahead of the curve with respect to cost flexibility? Or will that be rather unlikely given your necessity to strengthen the capital ratios organically?
Stefan Krause: Yes, thanks for your questions. You guys are really relentlessly asking us about the strategic information we'd like to provide in September. I need to clarify the EUR 3 billion are net of revenue growth reinvestment. And obviously, as I told you, more detail will follow in September. And at the end, you asked a question about the specific benefit from lower deduction from DTAs. Yes, we will also provide you details. But amortization of deferrals will follow, obviously, plan rules and accounting rules, and that's what we put down. We estimate that our DTAs will continue to decline organically because, obviously, we have assumptions that we will be profitable, which we will talk to you about also in September, but obviously, not to the tune of EUR 3 billion like some of our competitors. As I said our capital ratio, obviously, will not benefit from similar technical effects, like these re-classes on DTAs that they have shown. And then -- sorry, and then I did answer your question on the deferred comp that obviously, here, we have to follow plan rules, and we have to follow accounting guidelines in terms of how we can apply. That's not a discretionary change every year rule because otherwise, I would get in trouble with our auditors.
Philipp Zieschang - UBS Investment Bank, Research Division: So just to clarify. If you were to decide to take a larger chunk of the amortization of deferred comp, which hadn't been expensed yet, that wouldn't be at your discretion and you need it to follow through the deferral rate?
Stefan Krause: No, no, no. You can change a plan into the future. You can make assumptions into the future that you'll change your compensation structure. But then, you still have to follow the accounting rules of what constitutes a specific annual cost needs to be allocated to a specific service or what is future service. The accounting rules are pretty clear here. And therefore, obviously, your ability there is very restricted, yes. And especially for the old claims, don't forget there's commitments to employees out on the old claims that we obviously have to maintain and that where we have taken accounting decisions on how to accrue for them. So there's limited flexibility into the near term.
Operator: Next question is from Stuart Graham from Autonomous Research.
Stuart Graham - Autonomous Research LLP: I had 2 questions, please. Firstly, is there any technical issue that stops you selling these 1,250 risk-weighted securitization positions? And then secondly, on the costs. You've disappointed for 2 quarters in a row. So I guess, using the first half cost base as your reference point, so the EUR 2.5 billion, x entitlement [ph] in Postbank cost cuts gives you quite a high starting point. So that EUR 2.5 billion is now less than 10% of your starting-point costs, whereas some of your peers were up to targeting 15% of costs. So I guess, my question is, is that a preliminary cost figure? Could that number still grow by the time we sit down in September?
Joachim Müller: It's Joachim, Stuart. I'll take the first question -- first half of your question. Stefan will take the second half. No, there's absolutely nothing stopping us. It's completely management discretion. As Stefan made out earlier, what we are doing is navigating a very careful road where we are trying to estimate continually the price at which we can exit these positions, the cost of doing that, the opportunity cost of holding it versus the capital accretion. That's been a dialogue that we've been managing over the last 2 years, and we continue to do that. What's been interesting and you might have seen this with the main sell-down of assets in the U.S. is the appetite for this now is fairly robust. There's a number of funds which are set up to participate, so liquidity is actually of all the asset classes which have suffered, this is one place where liquidity is better today than it was a couple of years ago. Nothing is stopping us, but we are continually calculating to see whether it's in our best interest, net of all of those considerations.
Stuart Graham - Autonomous Research LLP: One thing that worries me is that if you sold these things with a loss, would that invalidate some of your staff's bonus conditions in terms of the clawbacks that kick in, if the CB&S division makes a negative IBIT. Is that the consideration which could preclude you from doing this?
Anshuman Jain: You're asking very specific questions, Stuart. Rest assured that what we do will be in shareholders' best interest, and any employees who are adding value to the shareholder will not be prejudiced as a concern, as a consequence of that. So we will -- those are all management controllable. That's an internal decision for us to take. If we think it makes sense for the bank, we'll do it, and employees that are helping us do it, will certainly not be prejudiced for it. But I can't get more specific than that.
Stefan Krause: Okay. And the second question was obviously the attachment point for our cost-cutting, which is a good question, and we debated it also quite a bit because at the end, the reason we use this one is to give you a guidance. Because at the end, the first half your cost base best represents as far as you know and you saw the increased legal and the increased, obviously, regulatory costs and the FX better represents the cost of the current platform of the bank overall, yes. So therefore, we decided if we provide you this as a basis and you're assuming some annualization of the first half-year and implying obviously, some of the seasonality effects we normally really have, that would give you a reasonable assumption of what the starting point of this number is. And it was just making a decision that this best describes the environment because the exchange rate we applied to because we had such a big difference to our -- for example, in the exchange rate versus previous year. And obviously, as we now have started to implement the Basel III requirements, we have IT and other regulatory costs reflected in our cost base, so you have a better indication of what the comparative would be. So but for the rest, I'll just ask you again to wait until September.
Operator: And the next question is from Kinner Lakhani from Citi.
Kinner R. Lakhani - Citigroup Inc, Research Division: So a few questions. Firstly, just on the EUR 2.4 billion of latent losses that you have on your reclassified portfolio. How are you viewing this, given the statements you've made today? Number 2, just on your one provision to litigation, which seems to be going up from EUR 2.1 billion to EUR 2.5 billion this quarter, at what point the number is large enough that you feel you need to take larger litigation charges? Number 3, just coming back on the point on comparability that I think you made earlier between banks and Basel ratios and so on. Just to get a better sense, if your risk-weighting methodology was not point in time but through the cycle, where would your risk-weighted assets be? Because this is one of the obvious differences between Deutsche and most of the rest of the universe that I'm trying to figure out. And finally, just a point of clarification on these cost measures, fully just my understanding. But should I think of them as being EUR 3 billion of a EUR 27 billion-type run rate, i.e. a go-to level of EUR 24 billion, given consensus is fully around EUR 25 billion for the next couple of years? Or should I be taking off EUR 3 billion off whatever Street is expecting over the next couple of years in thinking about this?
Stefan Krause: Okay, thank you for your questions. So let's walk through the one or the other one. Let me start with the EUR 2.4 billion on our IAS 39 re-classed assets. The way that I look at it, regretfully, we IFRS filers have been forced to report this number. For most of our competitors that file under U.S. GAAP, you would have never seen this sort of reclassified assets. We have to report both their accrual basis and their fair value basis, in terms of market basis. But we do not see this as a potential loss because, in our view, as we reclassified these assets and intend to – in the original intent of selling and trading them and now we put them on a parent to sell them based on the best time of exit for these, we just don't see these losses coming through the P&L. Obviously, this number is volatile because every time the market weakens, then liquidity disappears, then obviously the gap increases. But in most of the assets we have seen, if you look at the starting point, which was above EUR 5 billion, you have seen how the convergence of our book value with the fair value that we have assessed under the different methodology. At the end, some of these assets we may hold to maturity. And then they will move back to par, and therefore, technically, they will have no losses. Again, if at the inception of these assets we would have just taken this different decision that we didn't want to trade them, but we didn't want to hold them for maturity and sell them, this decision would not even have appeared. As you know, we had a couple of lumpy exposures in there, one of them was Actavis, that we have sold -- that we are in the process of selling, to give you an example. So now what this portfolio enables us is to make quite reasonable decisions at what point we want to sell and at what cost, if any, we have to sell. The second to increase from the EUR 2.5 billion reserve, reporting from the EUR 2.1 billion to the 2.5 billion reserve. The evaluation of these so-called reasonable possible losses above reserves is an appraisal at the end of the quarter on a case-by-case basis of material and significant cases that are disclosed in our financials. In every quarter, some cases experience obviously movements in their inherent risk, such as like increases or decreases of payments to claimants. And additional cases may be included that were not previously. So the increase from EUR 2.1 billion to EUR 2.5 billion is just partly due to new cases that have just – because in -- I caution you, obviously, this number in this current litigation environment may be subject to changes. To the point in time versus through the cycle question, at this stage, we would, honestly, not see a meaningful difference that would arise from using through the cycle or point in time default measures of risk-weighted assets. Also, let me add that the loss severity is anyhow estimated on longer historical data sets, and hence, it's an important factor of Basel 2.5, and risk-weighted assets is largely the same in either concept, whether it be 2.5 or 3.0. In other words, we don't see this as a black-or-white issue indicated in your question, and we certainly see the differences to be quite minimum. And then to your fourth question, if I got it right, Anshu had mentioned that the EUR 3 billion savings are net, yes. And that they are anchored, as we have said, to our run rate for the first half of 2012. And I just explained why we chose that starting point. We just thought that, that's the best reflection of our current cost base, which is current footprint and it's current exchange rate. And it's currently significantly increased regulatory costs and requirement. And we felt that this was the better attachment point to quote to you. But again, just bear with us until September. I'm sure we'll provide you some more granularity at that point.
Operator: And the next question is from Fiona Swaffield of RBC.
Fiona Swaffield - RBC Capital Markets, LLC, Research Division: Firstly, on the cost base, well, the currency impacts. I wondered if you could give us something similar for revenues because I assume there would've been a big impact from revenues. So how much did the weak euro impact the revenues, Q2-Q2 or half-on-half, be interested in that number? The second is the euro periphery loan book. I haven't had time to read all the detail yet, but I wonder if you could talk us through what's happening on credit quality there because there doesn't seem to be much rise in the loan losses in the PBC international? So could you comment on Spain and the conditions in your book there? And then the third is the policy models to market risk versus standardized and the fundamental U.S. trading review. I don't know if you've got any further thoughts on how that could potentially impact your risk-weighted assets over time.
Stefan Krause: Okay, thank you, Fiona. Okay, let's go, I'll give you some details. So if you have your pencil in hand, I'll give you some of these. The revenues in CB&S were plus EUR 300 million, and that's now the exchange rate effect. And on the group, it was EUR 440 million, the impact, positive; negative on LLPs, of each EUR 10 million, yes. And the noninterest expenses in CB&S were negative EUR 265 million, and then the group, as we disclosed, EUR 360 million for this year. And for the first half, you want, Fiona, I'm willing provide to you the first half numbers, too, if you like.
Fiona Swaffield - RBC Capital Markets, LLC, Research Division: Yes, please.
Stefan Krause: The revenues are EUR 570 million positive for CB&S, EUR 775 million for the group. The LLPs are the same, EUR 10 million negative, and then obviously noninterest expenses were EUR 440 million in CB&S; on the group, were EUR 600 million. So this is for that question. The second, on the credit quality. Our peripheral loan book has seen some really modest upticks in loan loss provisions. You don't see it because it's not that thick of a book, but just some modest uptick. But when we look at our loss absorption ratio, that takes into account our pricing for new business, that actually has developed favorably, and you see that over the last couple of years. We've done some -- quite some good work on improving the quality of our non-German European credit books, and that we have had some really favorable development in this overall. Also, we do see, obviously, a slight uptick in delinquencies in some of these markets. And then, your last question were the models. No, we are still assessing the latest Basel review of the trading book. This is obviously something we will monitor, but we feel that, at this stage, the ultimate outcome is so uncertain that we don't think that to give you any impact at this time is appropriate because we still have so much uncertainty around this and so much interpretation and so much discussions with our regulators. As you know, we are an advanced bank and have moved to a strong percentage of modeling throughout the rest of the half-year. And maybe as we do that, we might be able to give you a better number.
Operator: And I'll hand back to Mr. Müller. Please continue with any other points you wish to raise.
Joachim Müller: Thank you, Gela. This concludes our second quarter conference call. I would like to thank all of you for your interest in Deutsche Bank. Let me emphasize that we understand you have many good questions around our initiatives and statements, and we really promise to you that we will, as usual, provide full transparency around those. It was very important to our Co-CEOs to provide you with an update on our strategic review today, so please bear with us for another 6 weeks until investor day. And with that, goodbye, and see you on the road.